Operator: Good day and welcome to the DXLG Fourth Quarter and Fiscal 2015 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Jeff Unger, Investor Relations. Please go ahead.
Jeff Unger: Good morning, everyone. Thank you for joining us today on Destination XL Group's fourth quarter fiscal 2015 call. On our call today is David Levin, our President, Chief Executive Officer, as well as Peter Stratton, our Senior Vice President and Chief Financial Officer. During today's call we will discuss some non-GAAP metrics to provide investors with useful information about our financial performance. Please refer to our earnings release which was filed this morning and is available on our Investor Relations website at investor.destinationxl.com for an explanation and reconciliation of such measures. We have also posted a brief flight deck in the events section on our Investor Relations website that summarizes and reconciles several of our key performance metrics for the year. Today's discussion also contains certain forward-looking statements concerning the company's operations, performance and financial conditions, including sales, profitability, EBITDA, gross margin, capital expenditures, earnings per share, free cash flow, store openings and closings, international strategy and the company's ability to execute on strategic plans and the effectiveness of Destination XL concepts. Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those assumptions mentioned today due to a variety of factors that affect the company. Information regarding risks and uncertainties is detailed in the company's filings with the Securities and Exchange Commission. Now I would like to turn the call over to our President and CEO, David Levin.
David Levin: Thank you, Jeff, and good morning, everyone. Earlier this morning we released our results for the fourth quarter. I am excited to report that our company made great progress this year. Once again we demonstrated the strength of our DXL model in a quarter that was very challenging for many other apparel retailers. I am very pleased with the consistency of our performance throughout 2015, which was on-track with the expectations we laid out at the start of the year. We now have 5 full years of experience with the DXL concept and we have developed a predictable, steady operating model based on that experience. And as a result, while many other retailers were forced to take down their guidance during the course of 2015, our guidance was right on target. During the fourth quarter specifically DXL retail stores delivered a strong comp sales increase of 8.9%. The quarter actually started out slowly with a very warm November. However, typical winter weather returned in December, along with strong demand in our cold-weather categories. Sales continued to accelerate through the end of January and it turned out to be a strong quarter for us. The solid DXL store performance came on top of a 16.4% comp last year and we now have delivered 15 consecutive quarters of DXL comp store sales growth greater than 8.5%. Overall fourth quarter sales increased 3.8% from a year ago. We continue to drive gross margin improvement, exceeding our plan for the full year by 20 basis points. Our successful marketing and brand awareness strategies have enabled us to offer fewer discounts and therefore increase average dollars per transaction. On the strength of these achievements we delivered solid EBITDA for the quarter of $7.3 million. We credit that result for the performance of all three of our DXL platforms, the larger and smaller footprint DXL retail stores and our DXL outlet stores. We have now had 5 full quarters to observe the smaller format stores and as with all of our formats, we have developed a consistent model of execution. That reliability gives us significant confidence in our strategy as we head into 2016. During this fiscal year, we plan to open approximately 31 DXL stores, with roughly two-thirds being either smaller format or outlet stores. This mix allows us to keep capital expenditures at or below 2015 levels. As I said earlier, we attribute this excellent performance to our successful marketing campaign which continues to resonate well with the big and tall customer. Our fall campaign went very well and our upcoming spring campaign will have the same timing as our campaign a year ago. We now have 3 years of experience with our DXL marketing and each year we've experienced improvement in the key metrics we track. Brand awareness has increased from just 13% three years ago to 38% today, and even with that growth to 38% we still have plenty of room to reach new customers. As recognition of the DXL brand has grown, we've been able to reduce marketing expense in real dollars and as a percent of sales, driving improved profitability. Marketing expense was 5.3% of sales in 2015, down from a peak of 7.2% in 2013 and we expect further to reduce our marketing expense to approximately 4.5% of sales in 2016. Better awareness also boosted the conversion rate of customers migrating from Casual Male to DXL by 5 percentage point’s year-over-year. This in turn drove a 6.2% increase in total transactions at DXL stores in 2015, while the average dollars a customer spends per transaction increased 4.7% in the quarter and 3.3% for the year. You can see the work we've put into the DXL concept is really paying off. We are retaining our traditional larger wasted customers even as we dramatically improve our customer mix. Smaller wasted, end of the rack customers accounted for 46.4% of our bottoms business in the fourth quarter, up from 43.4% during the fourth quarter last year. When we began the DXL store concept the end of rack customer was only 33% of our bottoms business. These more branded conscious shoppers make 41% more visits per year to our store than our larger wasted customers and on an annual basis spend more than twice as much. We believe that they also account for nearly two-thirds of the big and tall market, so our growth with the segment is very important. Early in the fourth quarter we announced plans for the international expansion of the DXL brand with the hiring of Nancy Youssef, a Senior Vice President of International Business Development. We already have online inbound demand from more than 100 countries which we are servicing today. Though international expansion in the form of store franchising presents a tremendous potential growth opportunity, we are currently gathering data and creating the infrastructure for this franchise and licensing strategy. We have one franchise store open today in Kuwait City and expect to open additional DXL franchise stores in the spring of 2017. [Technical Difficulty] some thoughts on our outlook for 2016 and then Peter will discuss the financials in detail. We are very confident in our position and our ability to continue to execute – our plan. The Destination XL concept provides an avenue - more customers to stay with us longer, spend more money and shop more often. Now 5 years into the DXL journey, we've created a stable operating model that generates consistent predictable results despite a very difficult retail sales environment. For 2016, we remain focused on generating solid top line performance, accelerated growth in EBITDA and positive cash flow. We're confident that the DXL concept will continue to be successful and we look forward to continuing the progress we've made in the new fiscal year. And on that note, I'll turn it over to Peter to review our financial performance.
Peter Stratton: Thank you, David. And good morning, everyone. This was an excellent quarter for us. Back in November when we reported on Q3 we expected to be at the lower end of our Q4 forecast range because of the slow start to our seasonal product. As you all know, this was one of the warmest winters on record. However, demand for our seasonal product picked up in December and continued through the holiday season and all through January. Our sales results for the year were far greater than we expected back in November and our overall financial performance exceeded our expectations. Now before we get into the financial highlights for the quarter, I'd like to spend a few minutes talking about why we think we're onto something very special here at DXL. Over the last two years our sales have increased from $386.5 million to $414 million to $442.2 million and we'll be approaching $470 million in 2016. Over the same time period, our EBITDA from continuing operations has increased from $7.3 million to $15.2 million to $23.3 million and we'll be approaching $35 million in 2016. We have grown sales by approximately $56 million and we have tripled our EBITDA in just two years. We've made remarkable progress with these two financial measures, but also important to note is that we have done so with a disciplined capital allocation strategy that is delivering impressive returns. David just outlined for us some of the many reasons why the DXL store concept is resonating with our customers. What I'd like to add is that the quality of our earnings is getting stronger. As many of you know, we've been making a substantial investment in our new stores which has increased our debt load. However it is important to point out that this capital investment, which is driving our growth in sales and earnings is also being enhanced by a very strong rate of return. Every new DXL store is subjected to a rigorous internal review process before we commit capital to the project. Each store must meet or exceed our expected 5 year internal rate of return hurdle of 25%. In fact, our 137 DXL stores that have been open for at least 13 months are on pace to average a 38% 5 year internal rate of return. The important point to take away is that we are not only delivering significant increases year-over-year in sales and EBITDA, but we are doing so with smart disciplined investments in our new DXL stores, which have high return objectives and will support our company's long-term growth strategy. In 2016 we expect to fund all of our DXL capital expenditures with free cash flow and begin to pay back our debt. So now let's turn to financial highlights from the quarter and then I'll go through the guidance for 2016. During the quarter we reported a total comparable sales increase of 3.1%, which was on top of an 8.9% increase in the prior year quarter. We had 137 DXL stores open for at least 13 months, which delivered a comparable sales increase of 8.9% on top of 16.4% in Q4, 2014. The number of DXL transactions increased 4% in the quarter helping to drive our comp sales growth. In the fourth quarter gross margin, including occupancy costs was 45.8% versus 47.9% for the same quarter of fiscal 2014. Let me remind everyone that the reason for our gross margin was so high in the fourth quarter of 2014 is that we received a one time $2.5 million early lease termination payment to exit our former Rochester San Francisco location. The lease termination payment was worth approximately 210 basis points or $0.05 per share for the fourth quarter. Excluding this lease settlement, our gross margin was unchanged from the prior year fourth quarter with a 10 basis point improvement in occupancy costs, offset by a 10 basis point decrease in merchandise margin. Our SG&A costs for the quarter were 40% of sales compared with 40.3% in the quarter ago - year ago quarter. We continue to expect SG&A as a percentage of sales to decline over the next several years, as we further leverage our existing costs over a growing DXL sales base. Marketing expense was 6.3% of sales in the quarter versus 6.4% a year ago and we reported 5.3% for full year 2015, in line with our plan. Taken together our efforts to manage costs and improve profitability resulted in fourth quarter EBITDA from continuing operations of $7.3 million compared with $9.1 million in the comparable quarter a year ago. The year-over-year decline in EBITDA resulted from the $2.5 million early lease termination payment I just discussed earlier, as well as an accrual of $1.4 million in the fourth quarter of 2015 for the potential future payout of our performance based awards under our long-term incentive plan. These two adjustments amount to a $3.9 million swing or approximately $0.08 per share and on a non-GAAP basis approximately $0.05 per share. Our net loss on a non-GAAP basis, assuming a normalized tax rate of 40%, was a loss of $0.02 per share compared with non-GAAP net income of $0.02 per share - positive $0.02 per share in Q4 fiscal 2014. Now let's turn to the balance sheet. Capital expenditures for fiscal 2015 were $33.4 million, down from $40.9 million in fiscal 2014. The lower CapEx was due in large part to the smaller average DXL store footprint and fewer store openings compared with 2014. We opened 3 DXL retail stores during the quarter for a total of 36 DXL stores in fiscal 2015. As of year end, we had a total of 166 DXL retail stores and 9 DXL outlets open across the country. Inventory at the end of the fourth quarter was up $9.8 million or 8.5% from the fourth quarter 2014. The higher inventory corresponds with the increase in overall selling square footage and a concerted effort to receive spring merchandise earlier in order to accelerate store fulfillment. Even with the inventory build, the quality of our merchandise continues to improve. Clearance inventory levels were 8.1% of our total inventory for the fourth quarter of 2015 compared with 8.4% of inventory for the same quarter in 2014. Total debt at quarter end was $68.1 million, which includes borrowings under the revolving credit facility of $42 million with excess availability of $66 million. Finally, I'd like to discuss our 2016 guidance, which we are introducing today. We remain focused on solid top line performance and accelerated growth in EBITDA. For the 2016 fiscal year we expect total sales in the range of $465 million to $472 million, a total Company comparable sales increase of approximately 4.8% to 5.5%, gross profit margin of approximately 46.2% to 46.5%. EBITDA in the range of $31 million to $35 million, an adjusted net loss of $0.05 per diluted share to breakeven assuming a normal tax benefit of approximately 40%, capital expenditures of approximately $30 million with approximately $20.6 million invested in new DXL stores, borrowings at the end of fiscal 2016 in the range of $64 million to $69 million. Free cash flow before DXL capital expenditures of approximately $20.6 million to $25.6 million, resulting in total free cash flow in the range of breakeven to $5 million. Finally, in 2016 we expect to open approximately 31 DXL stores and close approximately 26 Casual Male XL retail stores and 3 Casual Male outlet stores. So in closing, we are very pleased with our fourth quarter and full year performance, which exceeded our initial 2015 plan across the board. These excellent results are the product of a consistent, predictable model of investing in new DXL stores with a high return objective. And we expect continued improvement in 2016 with a substantial increase in sales in EBITDA. With that, operator, we will open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Liz Pierce with Brean Capital.
Liz Pierce: Good morning. And you guys, congratulations, what a nice job. David, on the marketing side I was just thinking about, you know, you've been doing these TV ads for a couple years now, is there any plans to do anything else? Obviously I know you’ve got mail, direct mail pieces, et cetera, email, but just wondering if you guys have thought about other marketing initiatives, I'll start with that.
David Levin: No, I think we're going to continue for 2016 with the television campaign that we've been doing with radio supplements, and then we continue to invest more in anything related to eCommerce, really directing our focus on increasing that. Actually our direct mail will be coming down because we're finding that quite a few of our customers actually respond to an email greater than direct mail. So that continues to be coming down. But we're re just pleased with the results we are getting from TV and until we see some change in that we are going to continue to put our emphasis on that program.
Liz Pierce: Are you expanding to - in terms of different programming or different channels? I guess in particular anything to reach the female side of the equation?
David Levin: Not yet. I mean, we still have to focus where we're going to get the biggest bang for our buck which is the male consumer. I think once we mature that's certainly in our plan to start focusing on the female shopper because we know she makes a considerable amount of purchases in the men's apparel business. But until we get that awareness level considerably higher we're going to continue on that approach. I mean, we're happy about the 38% awareness, but boy, I mean there is a lot of blue sky available for us to continue to drive that number up.
Liz Pierce: And that was another question I had. I just wanted to – that’s brand awareness regarding DXL versus Rochester or Casual Male or is it everything?
David Levin: That’s strictly DXL.
Liz Pierce: Okay. All right. And then in terms of - I know last year you guys referenced - talked about you had some upcoming very high volume casual mail stores that were up to move over into the DXL. Is that still - will we still see that in '16 or is that in '17?
David Levin: No, quite a few of them are in '16. So a lot of our top performers, I did go through this recently with the real estate department. A lot of the ones that are converting this year are our highest performing Casual Male stores that we have left to convert. So it should be a good year for that. However, at the same time, we're still getting a lot of emphasis on these smaller format stores that are performing very well and I think we're opening 8 - is it around 18 of the smaller format?
Peter Stratton: Correct. This year we'll have of the 31 stores that we're going to open, about 10 of them will be our regular size, 18 of them will be our smaller size, and then 3 outlets is what we're looking at right now.
Liz Pierce: Okay, okay. And then, Peter, just for you a couple things. What do you guys expect D&A to be for this year for '16?
Peter Stratton: D&A for 2016 should be around $31 million I believe.
Liz Pierce: Okay. And then in the comp guidance for the year, the 4.8 to 5.5, what does that imply for the non-DXL stores? So I mean obviously you have had tremendous success, what, 15 consecutive quarters of over 8.5%. I was just trying to think about formulaically what does that imply for the non-DXL stores.
Peter Stratton: The non-DXL stores should be in the low to mid single-digits. The DXL stores to be in the mid to high single digits, and then again, the guidance is, I think we said 4.8% to 5.5%.
Liz Pierce: Right, okay. And I'll step back and get back in the queue. But that’s all I have for now, thanks. And best of luck, guys.
David Levin: Thank you.
Operator: Our next question comes from Greg Pendy with Sidoti.
Greg Pendy: Hey, guys. Just wanted to know I guess, you said merch margins I believe were only down 10 basis points in the fourth quarter and that kind of reflected what I would have thought was a very difficult November. So I just wanted to get an idea of how you guys came up with your gross margin forecast for 2016 and how you kind of thought about that range?
Peter Stratton: Sure, Greg. So in 2016 we are going planning to see some increase in gross margin. I think first of all we should continue to see increasing leverage from growing sales over fixed occupancy costs. But additionally I think we've made some very nice progress this year with controlling our markdowns and increasing our IMU, and I think there is still more opportunity on the table for 2016. We've got a great global sourcing team, who are constantly trying to find new ways to cut costs and bring more programs in house, so we can source directly from factories. So there is still some opportunity in 2016.
Greg Pendy: Okay. Thank you.
Operator: Our next question comes from Jack Balos with Focus Research.
Jack Balos: Yes, I'd like to ask you about the borrowings on the credit facilities. That has gone from $9 [ph] million to $19 million to $42 million. How much higher can it go and what is your interest you are paying on that?
Peter Stratton: Sure, Jack. So, you know, right now we finished the year with total debt of about $68 million and we've got $66 million in availability. So we feel very good about where our liquidity profile is right now and how much we have in order to finish the conversion of the DXL stores. As far as our interest rates, it’s about 3% - 2.5% to 3% when you do a weighted average.
Jack Balos: 2.5% to 3%?
Peter Stratton: Yes.
Jack Balos: Okay. And the $42 million that you had outstanding at the end of 2015, what do you expect that to be in 2016?
Peter Stratton: It should be about the same. We've been saying that this year we are going to be breakeven to slightly positive in cash flow. So we'll be paying back a little bit of the debt, but not too much. I think one of the important takeaways from this quarter is we're going to fund our entire DXL build out this year from existing cash flow. We are not going back into the borrowing base and taking on more debt. We finally reached a point with EBITDA and free cash flow where we are able to fully pay that back - fully fund the DXL stores and start paying back debt.
Jack Balos: Regarding GAAP earnings, you had almost for many years now, what is your expectation for 2016?
Peter Stratton: So for 2016 the top end of our guidance is to break even, which I think if everything goes right that's where we hope to be. But there is a lot of uncertainty still in the retail world right now. So we're going to be watching that very carefully. I think we've made great progress on growing our EBITDA over the last several years. And when you think about our company, its really a question of when does EBITDA becomes sufficient enough to overtake the depreciation expense that we're incurring because of all the capital we have spent to build out these stores. So we're almost there. I think breakeven is certainly something we're looking at this year and we're excited about 2016.
Jack Balos: Well EBITDA stands for earnings before interest, taxes and depreciation. Those are expenses. So you're growing expenses. Can you explain how that's…
Peter Stratton: Yes. I'm sorry, go ahead.
Jack Balos: As I said, EBITDA stands for earnings before interest, taxes and depreciation. Those are expenses. I'm interested in knowing when you are going to make a profit?
Peter Stratton: Right. So as I said, our profit, the top end of our profit guidance this year is to be breakeven. So if we don't get there this year we'll certainly be there in '17.
Jack Balos: Okay. Thank you.
Operator: Our next question comes from David Berman with Berman Capital.
David Berman: Hey, guys. Just wanted to know if you can please expand on the current environment and how it may have changed since the end of last year, as respect to you and who you feel has been more earnest competitive and how that is impacting you?
David Levin: Well, I mean as far as the environment, we're seeing very consistent performance in Q1 that we've seen for the last several quarters. We're not seeing any change in direction. We're still getting the same type of comps in all our channels that we've experienced. You get the weather days here and there. But again, I think we're kind of the outlier here where a lot of retailers are having problems with traffic and margins and excess inventory. Again, we've been very consistent quarter-to-quarter, our customer is fairly predictable, he shops on need. Fashion doesn't seem to be a big driver for our category. And we continue to gain market share from whatever other big and tall players are there doing whatever they are doing today.
David Berman: Okay. And the environment in terms of the economic, anything like that doesn't affect you, and also the weather, how is the weather impacting you?
David Levin: It tends to wash out in the quarter. So the weather right now has been fine, it hasn't really been an impact….
David Berman: I mean, last year was really, really cold, so this has probably been pretty good for you?
David Levin: Yes, again, consistent with where we've been before, we've had some - obviously in the Northeast we are up against all the snow from a year ago that we didn't have this year, which has certainly been favorable for us. And the economy issues, we are not seeing anything dramatic. We certainly feel it more in the few Rochester stores that we have left, that’s kind of falling consistent with issues that Nordstrom's, Tiffany's, all the high end are having with tourism and the dollar. We have that same impact too, but we have so few stores that are really high end. Its really - it doesn't really have a big impact on our total results.
David Berman: Okay. All right, good. Good luck. Thanks a lot. Thanks, David.
Operator: Our next question comes from Bernard Sosnick with Madison Global Partners.
Bernard Sosnick: Good morning. Your earnings forecast at the top end is to breakeven and certainly we all wish you get there. But while there is uncertainty, as indicated in the range, it would seem to me that what you're - what would seem likely, based on what you’ve been saying with consistent positive performance in the first quarter. That during the first half you are probably already in a position to envision some quarter-to-quarter improvement and leaving the uncertainty more for the second half. If I am correct about that, could we envision possibly positive numbers in the first quarter?
Peter Stratton: Sure. So, Bernie, we do expect that we're going to be getting better every quarter. I think this year for us to be coming in on a non-GAAP EPS of $0.10, if we can get to breakeven that will be a huge milestone for us. But, yes, I do expect that we should be improving in Q1.
Bernard Sosnick: Okay. Thank you.
Operator: [Operator Instructions] We'll take our next question from Chris Krueger with Lake Street Capital Markets.
Chris Krueger: Good morning.\
Peter Stratton: Morning.
Chris Krueger: On your international plan you indicated in your comments that you are getting incoming demand from over 100 countries. I mean is this like a handful of potential franchise partners or is it dozens of partners or how should we look at that and should we expect some sort of an announcement of a partner opening X number of stores over the next period of years?
David Levin: Good question. That’s exactly right. We're going to be hopefully making an announcement over the next several months of a few partners. We're going to start out relatively slow. We don't want to - this is all new to us. We our spending a lot of our energies right now in building the infrastructure to do this. We are talking - we are in the talking stages with some potential partners. It’s not going to be a massive amount of countries to start with. We're going to go where we believe the best opportunities are for the big and tall market and we've been doing research on that. So again in 2017 we would - at this point in time we're going to be opening very few stores, making sure we understand the systems that are going to be required to do this and the infrastructure we're going to need. But again, we've had a lot of inquiries out there. We're very excited about the opportunity. But it’s going to ramp up quite slowly over the next few years.
Peter Stratton: And, Chris, just to add one thing to that. To clarify on the 100 countries, the inbound demand that we are receiving, that’s on our direct business. So that means people from all over the world come on to our US website to order product. So we are seeing demand from many, many countries and that gives us strong confidence that we should be looking to pursue a global brand.
Chris Krueger: Okay. One other question. On your television and radio advertising, I follow another company that indicated elevated advertising rates in the month of January and February, primarily due to the primaries and some huge spending by the presidential candidates. How do you look at that as far as both your summer plan and next fall when you get into that time of year with your campaign?
David Levin: Well, for the spring campaign, that’s locked and loaded. So our rates are comfortable from where we've been before. We haven't done our fall placement yet. So we're a little premature. But it is logical to anticipate in an election year rates do go up. But a lot of our spend is going to come after the election itself. So I don't think its going to be a major impact for us.
Chris Krueger: Okay. Thank you. That’s all I've got.
Operator: [Operator Instructions] Our next question comes from Liz Pierce with Brean Capital.
Liz Pierce: So, David, a couple things on the competitive landscape. Have you seen any changes whatsoever, particularly in terms of the end of the rack customer? Like have you noticed anything in the department stores or the mass guys going further into that business on those sizes?
David Levin: We have seen nothing going on that front at all. So again, that’s been our sweet spot. Its - like I say it is the end of the size scale for department stores where they get very little turnover in those sizes. So again, we haven't seen anybody deciding to go after that business, like we're making that our big initiative at this point.
Liz Pierce: Okay. And then you mentioned, I think you mentioned it or Peter mentioned it, I know you did - something about this end of the rack customer, you said brings 41% more business to the store, can you just help - give us a little bit more insight into that?
David Levin: Yes, well, on the spend side it overwhelmed us. We always knew that this customer could be potentially a better customer for us. But the fact that on an annual basis his spend right now is twice what our customers outside of that end of the rack size are. So it is a two for one for us. Every time we get a new customer into that zone he is worth two of what our old customer was. And another statistic is the DXL stores have 85% more customers in total than the Casual Male, than its counterpart in Casual Male had before. So this has been a long journey to figure out how to get this guy into the game. And the rewards have been greater than we thought. And again, it is only – it’s been growing at a rate of - from what we said from the low 30s to the high 40s in a couple years. And every quarter that number continues to grow and that’s what's driving of our business. And at the same time we are not losing any of our bigger guys at all. That customer base has not shrunk at all, just the percentage of those customers have shrunk.
Liz Pierce: That was actually my next question. So, that customer has been - on the other side, the other end of the size range is still very loyal, just not a lot of…
David Levin: And he loves DXL because…
Liz Pierce: Yes.
David Levin: Of the brands and every service, everything that has been going on. Our survey reports still come back very strong with positive shopping experiences.
Liz Pierce: And is there anything happening on the branded side in terms of just the mix between private label and brands, any new brands coming in? I know you probably don't want to name names or is it going to be relatively stable as you look through '16?
David Levin: I think it is relatively stable. We're always talking about bringing in some new brands, trying to bring in some more luxury brands, which is desirable for us. But the mix is great right now. It does grow, again, as we grow the end of the rack guy he is more brand conscious. So we'll continue that number - that percent will continue to decline, but its nothing been dramatic. Its climbing, it’s inching its way up, which is good, because our margins continue to actually improve. I think that was the big question mark as we threw out this model and brands grow what's going to happen to our margins, and as you watched over the last few years, our margins have actually been growing. So…
Liz Pierce: Right. You haven't had the margin erosion that one might expect from an increased percentage of branded product?
David Levin: Correct. And again, giving credit to our global sourcing team, our private label IMUs have continued to grow as we find better ways to source more direct to the factory relationships and negotiating better. It’s been able to offset that.
Liz Pierce: Got it. Okay. All right, thanks, you guys. And again, best of luck for fiscal '16.
David Levin: Thank you.
Operator: It appears there are no further questions at this time. Mr. Levin, I'd like to turn the conference back to you for any additional or closing remarks.
David Levin: Okay. Thank you all for joining us today. And as a reminder, I invite you to visit one of our DXL stores and to experience what we've built into the Destination concept. And if you would like to visit any of our stores please let us know and we'll be happy to give you a tour. And we look forward to speaking with you next quarter. Thank you very much.
Operator: This concludes today's conference. You may now disconnect.